AirTran Holdings, Inc. (AAI):
Executives: Jason Bewley – Director of Finance Bob Fornaro – Chairman, President and CEO Arne Haak – SVP, Finance, Treasurer and CFO Kevin Healy – SVP, Marketing and Planning
Analysts: Jamie Baker – JPMorgan Duane Pfennigwerth – Raymond James Jim Parker – Raymond James Kevin Crissey – UBS Bill Greene – Morgan Stanley Dan McKenzie – Hudson Securities Gary Chase – Barclays Capital Helane Becker – Jesup & Lamont Steve O'Hara – Sidoti & Company
Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the AirTran Holdings first quarter earnings call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will be given at that time. (Operator instructions) As a reminder, this conference is being recorded. I would like to introduce your host for today, Mr. Jason Bewley, Director of Corporate Finance. Sir, please go ahead.
Jason Bewley: Good morning, everyone. I’d like to thank you for joining us for a discussion of our first quarter 2010 results. Joining me today are Bob Fornaro, Chairman, President and Chief Executive Officer; Arne Haak, Senior Vice President of Finance, Treasurer and Chief Financial Officer; and Kevin Healy, Senior Vice President of Marketing and Planning. I’d like to remind you that this call will contain forward-looking statements. These comments are not historical facts and that you should consider them as time sensitive forward-looking statements that are accurate only as of April 21, 2010. If you like additional information concerning factors that could cause our actual results to vary from those in the forward-looking statements, they can be found in our Annual Report, Form 10-K, Form 10-Q, and other SEC filings on the company. We’ll also be discussing several non-GAAP financial measures that we believe are helpful in getting an understanding of our operating performance and providing a period-to-period comparison excluding special items. A copy of today’s press release, recent SEC filings, and a reconciliation of these non-GAAP financial measures are available in the Investor Relations section of the company’s website at airtran.com. Today we’ll be discussing our first quarter results and our outlook for 2010. At the end of the call, there will be a brief question-and-answer session. Now I’d like to turn the call over to Bob.
Bob Fornaro: Thank you, Jason. And good morning, everyone. This morning we announced our financial results for the first quarter of 2010, which consists of GAAP loss of $12 million or $0.09 a share, which includes an unrealized gain of $4.7 million on the increasing value of our future fuel hedge portfolio. (inaudible) we reported a net loss of $16.7 million or $0.12 per share compared to last year’s economic net income of $26.3 million. During the quarter, our capacity grew 6.1% year-over-year due to the addition of two aircraft in higher aircraft utilization. Our operating costs grew by $108 million or more than 21%. The leading cause of this operating cost increase was a $67 million increase or a 50% rise in fuel cost, as the cost per gallon rose from $1.59 per gallon last year to $2.27 per gallon, which includes the effects of hedging. Another significant contributor to our profit shortfall was the weather challenges that plagued the eastern half of the US during the first quarter. While climate weather in the first quarter is certainly not unusual, the severity in duration of weather this year was extreme by any winter’s measure. During the first two months of the quarter, we canceled 1,400 flights, which effectively trended approximately 2% of our first quarter capacity. In 2009, we didn’t cancel 1,400 flights until early November. Previously, we anticipated the revenue loss from winter storm was $5 million to $6 million. As a further analysis, we now believe the revenue impact was more than $10 million. Despite the loss of revenue from these winter storms, we have seen sequential improvements in load factoring yields with these trends accelerating through the quarter. Specifically, we experienced a record first quarter passenger demand as measured by our RPMs. Our 77.2% load factor was the highest first quarter load factor in our company’s history. In our yields, our average fair per mile increased by 3.7% year-over-year. This is the first increase in quarterly yields we have seen since 2008. The result was a 5.3% increase in total unit revenue, and the highest first quarter total unit revenue in the company’s history when adjusted for stage length. This year-over-year unit revenue improvement accelerated, as we proceeded through the quarter, culminating in a solid double-digit increase in unit revenue performance in March. Our efforts to better diversify our network and profitability has also been successful. While we have grown our land operation to be one of the world’s largest low-class hubs, we had built significant operations this quarter, Baltimore, and more recently, Milwaukee. Since the first quarter of last year, we have launched 12 new cities, expanded our Atlanta service to three new Caribbean destinations, six new domestic destinations, and restored our servers in Gulfport, Mississippi. We now serve 60 destinations from Atlanta. We now serve 47 destinations out of Orlando, more than any other airlines. We have added 17 new non-stop destinations since the first quarter of 2009. In Milwaukee, where we are now the largest mainline airline, we serve 18 of the top 20 destinations. And in Baltimore, we have added eight new non-stop destinations in the past year to bring our total destinations served to 27. A very credible and hardworking crewmembers have contributed to these successes. However, a loss like this still is very disappointing. While there are clearly signs of a gradual economic recovery, macroeconomic conditions remain uncertain and our growth plans therefore remain conservative. Regardless of the economic outlook, we are committed to maintaining our unit cost discipline and offering high quality, high value services to our customers. Before I turn the floor over to Arne, I’d like to make a few comments about Senator Blanche Lincoln’s reform of the derivatives market, as being discussed this week. It’s still as written, will improve transparency, course [ph] trades out the regulatory – out the regulated exchanges, close along with any wide loopholes and aggregate position limits across all markets. It creates an opportunity for energy to trade in line with the fundamentals of supply and demand while providing oversight in what is today a largely unregulated and speculative market. I’d like to now turn over the call to Arne to give you some more detail on our financial performance and outlook.
Arne Haak: Thanks Bob. And good morning, everyone. As Bob just mentioned, we reported a net loss of $12 million. Included in these results is a $4.7 million gain due to an appreciation in the value of our future fuel hedge portfolio. Excluding this item, our economic net loss was $16.7 million or $0.12 per share loss. For a complete reconciliation of these items, I direct your attention to the reconciliation table at the end of today’s earnings press release. Our capacity for the first quarter grew by 6.1% due to two additional aircraft and the 2.8% increase in utilization. Our traffic is measured by revenue passenger miles increased 7.5%, resulting in a record first quarter load factor of 77.2%. Our first quarter revenues were $605.1 million, up 11.7% year-over-year and the highest first quarter revenues in company history. Our passenger unit revenues increased 5.1% year-over-year to $0.0953 as a result of the 3.7% increase in yields despite a 4.1% increase in stage length on 6.1% more ASMs. Other revenues increased $7.6 million or 13.6%. The pace of yield improvement has continued to accelerate since last year. We’ve experienced a low-to-mid single-digit decline in average yield in January, with positive and accelerating year-over-year increases in yields in both February and March. On a stage-length adjusted basis, our total unit revenues in both February and March was the highest for the respective months in our company’s history. On the cost side of the equation, our total unit operating costs were 14.9% year-over-year in the first quarter, and our adjusted non-fuel unit costs were $7.07, up 5.1% year-over-year. Our unit maintenance costs were up nearly 20%, largely due to the final contractual step increase provided for in our 717 Rolls Royce power-by-the-hour agreement that began in late October of 2009. Excluding maintenance costs, all other non-fuel unit costs increased 2.6% during the first quarter. This unit cost increase was driven by higher storm related costs in the areas of active utilization, (inaudible), staff overtime, and increased call center expenses. In addition, our unit distribution costs increased 18.4% due to higher average fairs and a slightly higher percentage of customers using online travel agencies. Our economic fuel cost for the quarter was $2.25 per gallon, all in, which includes the effects of hedging. With regard to the balance sheet, we ended the quarter with $534 million in unrestricted cash and equivalents. In early January, we repaid $125 million in borrowing under our revolving line of credit. We did not borrow additional amounts under our revolving line of credit at the end of the first quarter or at any other point during the first quarter. During the quarter, we also refinanced two 737-700 aircraft and also secured financing for two of our deliveries in 2011. Our non-aircraft CapEx was $2 million for the first quarter. I’d now like to spend a few minutes updating our outlook for the second quarter and the remainder of 2010. Our fleet plan for the rest of 2010 is to remain at 138 aircraft. Our second quarter capacity is projected to be up approximately 4% year-over-year. Third and fourth quarter capacity is projected to be up approximately 2% year-over-year. Our next scheduled aircraft delivery is in March of 2011. Our advance bookings, and more importantly, our yields continued to trend upward and remain strong. At this time, we are currently expecting our total unit revenue to increase between 13% and 14% in the second quarter. As I mentioned earlier, we've experienced the last contractual step increase of our 717 Rolls Royce power-by-the-hour engine maintenance agreement in late October. And this will continue to significantly pressure our maintenance cost for most of 2010. We expect our second quarter non-fuel unit cost will increase by 4.0% to 4.5% and that our full year non-fuel unit cost will be up from 4% to 5%. The increased cost of our Rolls Royce contract and increased cost from higher anticipated unit revenue will contribute over one-half of the increase in our non-fuel unit cost for 2010. However, the projected increase is lower than what we experienced in 2009. In regards to fuel, we have continued to add to our fuel hedge portfolio during the first quarter. As of today, we have fuel contracts of approximately 46% of our anticipated jet fuel volume for 2010. The hedge percentages by quarter are 40% in Q2, 46% in the third quarter, and 53% in the fourth quarter. For 2011, we have fuel hedges of approximately 25% of our anticipated fuel need and for 5% of our 2012 fuel need. Our portfolio consists primarily of crude oil base call option and wide [ph] collars based on crude oil and heating oil for 2010. For 2011 and 2012, our portfolio consists of wide collars on crude oil. Despite the benefits from our fuel hedge portfolio, we expect that our fuel cost in the second quarter of 2010 will be up year-over-year. Based on an average slot price of $82 for crude oil and $9 for jet fuel refinery spreads in the second quarter, we expect our economic fuel cost per gallon to be between $2.37 and $2.42, all in, inclusive of taxes, transportation, fuel hedging, and inter-plane fee. With regard to tax expense, our tax valuation allowance at the end of the first quarter was $9.4 million. This means that once we have experienced cumulative pretax income of $25 million from the end of the first quarter, we will begin accruing taxes again. For pretax earnings beyond the next $25 million, our tax rate is expected to be in the range of 38% to 40%. In closing, we are proud of our unit revenue results and the diversification efforts from the entire AirTran team. We believe that we have the right plan for a slow economic recovery. Maintaining our unit cost advantage and providing high value, high quality service to our customers are key to our long-term success. And with that, Karen, I’d like to turn the call over for questions.
Operator: (Operator instructions) And our first question is from the line of Jamie Baker of JPMorgan.
Jamie Baker – JPMorgan: Hey, guys, good morning.
Bob Fornaro: Good morning, Jamie.
Jamie Baker – JPMorgan: I think we are all somewhat unaccustomed to seeing airlines grow capacity 4% with a similar increase in ex-fuel CASM. Can you give a little additional clarity on where the other cost pressures are besides Rolls Royce issue? I’m also curious whether you are actually seeing business shift away from your stride towards online agencies. You made a comment about the cost pressures that that applied in the first quarter.
Arne Haak: Sure, Jamie. Clearly the biggest one is maintenance cost. And that’s primarily on the 717 fleet. Other areas where we are seeing cost pressures are in the area of airports or you are seeing – you heard us talk about how the backdrop of domestic capacity has shrunk. The airport infrastructure has not shrunken. Now the costs are being shared among fewer airlines and lower ASMs. So that’s another area that’s of concern. There is a little bit dip we’ve seen in the first quarter on labor such as the workforce become a little bit more senior, we’re not necessarily hiring a lot of new people with a lower growth rate. It’s largely utilization base. So there is a little bit of pressure there. And finally on distribution, we did highlight that this quarter. We’ve seen a point or two move away to the online travel agencies, and that’s, I think, largely reflective of the fact that some of them had removed their fees year-over-year.
Jamie Baker – JPMorgan: All right. That’s helpful. And the second question, can you give us any idea of how much of a drag Milwaukee might be on overall RASM? I’m not asking you to comment on the profitability of Milwaukee, but given the expansion there, the new routes plus what the other discounters are doing, I’ve got to imagine that it’s pulling down your overall average buy by some amount. Any thought on that?
Bob Fornaro: Cincinnati has strong – maybe Kevin can add to that. I think there is two things, particularly for the first quarter, first quarter is the worst quarter of the year in the east-west operation. So you have a natural (inaudible). It’s the worst quarter of the year. And the actual stage length of the operation is substantially higher. So you’ve got a couple – you've got some mass that really works against it.
Kevin Healy: The other thing – this is Kevin. The two things I look at is, generally the development in Milwaukee started with large leisure routes, which continued to do very well, even with the (inaudible) in there. What’s the most new is the development of the business routes. And as Bob noted, first quarter, that’s going to be a bit of a dream. But those are the sort of things that you look at that are moving and improving at rates that are very good. So very encouraging as we look forward in Milwaukee and really everywhere.
Jamie Baker – JPMorgan: Okay. I appreciate the color. That will do for me. Thanks, guys.
Bob Fornaro: Thank you.
Operator: Thank you. And our next question is from the line of Duane Pfennigwerth of Raymond James.
Duane Pfennigwerth – Raymond James: Hi, thanks. Good morning.
Bob Fornaro: Good morning, Duane.
Duane Pfennigwerth – Raymond James:
 :
Arne Haak: Duane, after the next $25 million, we’d not have tax and pretax earnings. But beyond that, any earnings that you are projecting in your model beyond the first $25 million from here on out would be tax. We will not be a cash taxpayer, but we will be clearly into taxes.
Bob Fornaro: But we will be – we will be accruing taxes likely in the second quarter.
Arne Haak: Yes. Based on our guidance today, that would happen sometime late in the second quarter.
Duane Pfennigwerth – Raymond James: That’s great, thanks. I think Jim may have a question.
Jim Parker – Raymond James: Yes. Arne, I want to ask you about ancillaries and the stage of revenue or ancillaries per tax and what’s next, how far can you go with ancillaries.
Kevin Healy: Hey, Jim, it’s Kevin. Really I’m not going to talk more about ancillaries in any specific detail. But the only thing I would say that what we are dealing now is introducing bundle of services. We’ve done that recently with preferred seating, which is a combination of the busy (inaudible) and early mornings. So I think that’s the sort of thing that we move forward. Arne mentioned in his opening comments, ancillary revenue continues to grow, and we expect that trend will keep going.
Jim Parker – Raymond James: Okay. And then when is there is the step-up in maintenance on the 737s? When was there some sort of bubble or something we might see there?
Kevin Healy: Jim, it comes later on. Typically, it’s probably between years three and seven. But you’re not going to see any kind of big increase like you did with the 717 and has to do with more how the contracts were structured. What was really unique about the 717 contracts was that every aircraft moved up at the ten-year anniversary of the program. So we had 86 717s, all reaching a new rate at the ten-year rate. On the 737, it will be as individual aircraft reach those milestones in the cost structure. And so you won’t see this big step as we have had this year.
Jim Parker – Raymond James: Okay, thanks.
Operator: Thank you. And our next question in queue is from the line of Kevin Crissey of UBS.
Kevin Crissey – UBS: Hello. In terms of the online travel agency cost per transaction relative to your website, are we talking about somewhere in the vicinity of $8, $8.50 [ph] somewhere in that vicinity that rough math?
Arne Haak: Kevin, I don’t think we’ve ever commented on what our specific costs are for the various online channels. The biggest component of the distribution costs are the credit card commissions. You can kind of model in from there what you think everything else is, but our agreement, our confidence, and we can’t comment on kind of our specific or even our blended rates of where we are.
Kevin Crissey – UBS:
 :
Arne Haak: It’s not accelerating, but it’s – really it began last year – in the second quarter of last year. So on a year-over-year basis, you are seeing I think the bigger increases. When you think about what credit card companies charge and say, credit card is a form of payment against the backdrop of increasing yields, that’s the biggest pressure on the cost, more than what we are seeing is a minor channel shift.
Kevin Crissey – UBS: Okay. Thank you.
Operator: Thank you. And our next question in queue is from the line of Bill Greene of Morgan Stanley.
Bill Greene – Morgan Stanley: Yes, good morning. I’m wondering if we can just talk a little bit about consolidation. If we look at sort of what’s out in the press as far as you think about some legacy consolidation, how the end-to-end mergers among the legacies affect AirTran? We’ve seen now Delta go to a single operating certificate. Has that had a significant effect on your competitive landscape? How would you think about some of these mergers that are being proposed?
Bob Fornaro: The thing I’d look at the – we start looking at the M&A, when you’re looking at the Delta-Northwest merger impact us, quite frankly, it was very little that in fact – again, we’ve seen really no capacity change in our Atlanta markets. The biggest adjustment has really been in the Cincinnati area, Lehigh Valley. Quite frankly, probably getting some benefits there in our operations. As you look at what’s being discussed with United and potential transactions there, if you look at it, I mean, there’s got to be some reduction in capacity for those to ultimately work. And if you look at the growth carriers how substantial operations in the eastern half of the United States, if we look back over many years, United US Airways has also had a very, very large overlapping operation in the Baltimore, Washington area, which could be right for carve-outs under this administration, whereas in the previous administration there were really no carve-outs at all. But again, going on with – a few carriers aren’t profitable domestically to begin with. And so if you put them together, ultimately you’re going to see some reductions. I think it could be perhaps benefits in the Mid-Atlantic and perhaps in the United Continental scenario, perhaps and most likely reduction probably comes in the place like Kleevo [ph]. So either one of these types of deals could create benefits for us, especially for a carrier like AirTran, which has been very, very well in small and mid-size cities.
Bill Greene – Morgan Stanley: In the past, you guys have looked to do some M&A yourselves. Did those experiences cause you to say, you know, we tried that, that work sort of done there, or would you be open to being a part of consolidation in the future?
Bob Fornaro: In terms of really initiating something, our biggest focus is to really improve our balance sheet and ultimately get to a position where we are better than we were in 2007. That’s really important. And so our balance sheet focus is critical. When we look back at our attempted takeover at Midwest, I think when we look back, we are again not only glad, we were successful. If you look back in hindsight, we would have paid too much. We would have been saddled with an integration going through the fuel crisis. And I think as we now look at it, we think we are going to end up with the key mainline carrier in Milwaukee without the purchase. So I think – we don’t necessarily want to and don’t play in on initiating. Regarding the flipside, our opposition at AirTran is, if someone took a peek at AirTran, we would always (inaudible) responsibility to take a look at it and make sure that we are looking out for our shareholders. So we are not going to initiate at this point in time because our goal is to improve our balance sheet. If we can benefit and play a role on a transaction, perhaps in a carve-out to get around perhaps certain competitive issues, we would certainly take a look at that. But again clearly we will clearly look out for our shareholders if the landscape changes.
Bill Greene – Morgan Stanley: Yes. You mentioned improving the balance sheet as a key goal. One of the challenges with that in the ’08 period obviously was fuel prices. So I don’t know, maybe for Arne, as you look at your hedge book, should it be a lot bigger as you look forward because the fuel prices (inaudible) that seem to cause quite a crisis for the company? Maybe you should build it up as big as you can or how do you think about that?
Arne Haak: Sure, Bill. It’s a really good question. 2008, I think, we suffered from several things. And fuel was just one of them. We were growing in a much faster rate. We had very large CapEx plan in terms of aircraft. And we had multiple impact that we were providing a drain on our tax. So if you look at kind of what we’ve done to do that, there is a couple things. One, we had been more aggressive in hedging. I think we look at it more as an insurance policy. We look at our portfolio. We’re kind of keeping ourselves between $60 and $90 a barrel. We are not limiting any of our upside participation from – in our hedge book, which we did in 2008 because I think at that time it was hard for us to see that oil could go beyond $110. And clearly, it can. So we do hedge more. But more importantly, we have a more disciplined growth rate. We have a stronger balance sheet today than we do – than we did going into 2008. We have also diversified our network. We are moving away more into a point-to-point buying, less into price sensitive connecting fine. We closed a lot of the store fault [ph] cities that we flew to out of Atlanta that we are providing a lot of connections into Atlanta, but that we are very price sensitive connections. So we’ve done a lot of things, and being more aggressive on the hedge book is part of it. But if you look at kind of what we are doing and how we laid out the business, we try to address all those things in terms of our plan.
Bill Greene – Morgan Stanley: All right. Thanks for the time.
Arne Haak: Sure.
Operator: Thank you. And our next question is from the line of Dan McKenzie of Hudson Securities.
Dan McKenzie – Hudson Securities: Hey, good morning, guys.
Bob Fornaro: Hi, Dan.
Dan McKenzie – Hudson Securities: I guess my first question is really housecleaning. I’m just wondering if you can help us understand the moving pieces behind the RASM guidance, about 13% to 14%. Is that being driven by back of the plane traffic or front of the plane traffic? How would you characterize that?
Kevin Healy: Kevin. Well, I’m not sure everybody has a different definition on back of the plane and front of the plane. I think we’re just fundamentally seeing improved demand across all 12 parts of the network, both in terms of leisure demand is very strong. And more importantly, the average fairs are strengthening going forward. So that’s the big piece of it. I think the close in demand is very good. And you really started to see the benefits of the network diversification. We’ve talked a little bit earlier about Milwaukee coming in. We are heading into the strongest quarter and extremely well positioned there. I think last year in Orlando, you saw a lot of meeting in convention travel. That’s one way we’re going to see that coming back throughout the summer and into the fall. So generally speaking, demand, no matter how you cut it, looks better.
Dan McKenzie – Hudson Securities: Okay. I appreciate that. And then I guess second question, I know AirTran has reported its presence in each of the top 20 markets at Milwaukee for a while now. And so I just am wondering perhaps you could talk a little bit about whether you are satisfied with where you are at at this point, or are you thinking that perhaps there is some more holes that need to be sold [ph] down the road?
Bob Fornaro: Let me just comment on Milwaukee. I think – if we go back to one of Kevin’s comments, we’ve established ourselves in prior years in the leisure markets. And this year, we really establish ourselves in the markets of the West Coast and to the East Coast business destination. So we’re really pointing through our first winter. We don’t talk a lot about market share, but actually we are at 30% there, which is probably the largest position we have in any of our key markets. As you look at what’s going on with the competition, the hometown carrier Midwest, the name is gone, which clearly has got to be a benefit for us because this was an airline, Midwest has tremendous oil. Now the name has gone, and a lot of it identity. And the frequent travel deal that Midwest (inaudible) has soon to be over. So we think it’s a really big opportunity going forward. Again we established the leisure market. We made a big push through the business markets this year. I think the next two quarters are going to look very good. So I think – we are looking at all things considered, Milwaukee is going to be a big positive for us going forward.
Dan McKenzie – Hudson Securities: Okay. Thanks a lot. Appreciate that.
Bob Fornaro: Right.
Operator: Thank you. And our next question is from the line of Gary Chase of Barclays Capital.
Gary Chase – Barclays Capital: Good morning, everybody.
Bob Fornaro: Good morning, Gary.
Gary Chase – Barclays Capital: Wanted to see if we could get a little color from either Bob or Kevin. It’s a little hard to understand how to read some of these monthly numbers. One of the things that I would say at least for me, and surprisingly pronounced is the relative strengths in the peak periods versus the off-peak. So obviously, not terribly surprising and March was quite a bit better. And we obviously understand that the comps get easier. But if you try to normalize that, how should we be thinking about the quarter? Would April relative to normal seasonality be surprisingly strong followed by a May that’s not so good and a June that’s very strong? Is that how you are thinking about it, or had something changed in that dynamic?
Kevin Healy: Gary, it’s Kevin. The April in the quarter is going to be the toughest comp with the east in those periods. So beyond that, then you see the strength in June certainly will be the strongest month of the quarter. But even May, on a year-over-year basis, I think, is going to see the same sort of strengthening that we’ve talked about before. And just in terms of demand is that strong, though important. I think with capacity in the way of debt [ph], we are just in a very good position to capitalize.
Gary Chase – Barclays Capital: Is it fair what I’m trying to argue though, Kevin, that if you just look at the comps, you probably underestimate April, overestimate May, underestimate June. Is that the way you are thinking about it? Is that the way the bookings are coming in? Or does it look like there is maybe even strength that’s starting to appear in some of those off-peaks like May?
Bob Fornaro: We look at the bookings when we look forward. The bookings for May and June was exception. And so again, for us again, we are going to have a good April. It’s not going to be as strong as March and that we’re going to have especially strong May and June. I mean, this is really – again – and I think you’re going to get similar commentary today. Last year, the booking patterns were really breaking down this time. And I think right now we are just seeing a firming through May and June and going into the summer as well.
Arne Haak: Gary, this is Arne. I just have one last bit that – if you look back kind of at our second quarter, I believe it was ’06, kind of had our best second quarter total unit revenue performance. And our guidance today really reflects that we will be beyond that. So the recovery isn’t going to be pretty strong. So if you look at the individual months, you are seeing it – there is natural seasonality, but the strength is not just in the peaks. You are seeing it pretty consistently through the quarter.
Gary Chase – Barclays Capital: Okay. And then it sounds like – the language that you’ve used around growth today in this call sounds a little bit different than the language, at least in my perception, that you’ve used in the last few calls. You’re talking about a disciplined growth rate. And I think conceptually it’s for the last – you've been more a no-growth type of message. Has anything changed? Do you think the fundamental backdrop has changed so importantly that it starts to justify a thought process as to what a growth rate would be? And then if that’s the case, what is your definition of disciplined growth?
Bob Fornaro: Gary, let me start. I’m not really sure it has changed that much. We made most of the changes in our fleet plan. We made about two years ago. I mean, actually – I think we did get out and tried in most of the industry and we restructured our fleet. We hang out in all the airplanes. But we really planned on our tool to a 2.5-year turnaround, which kind of looks like it was the right estimate. As we look – the airplane market is different. It’s more expensive. The CDP financing is not available like it was two years ago or as readily available, not a big place in the market yet. So I think financing gets a little bit more expensive. I think our approach is, given some of the ups and downs we see in the last two years, that’s what we carry a little bit more cash on your balance sheet. So I mean, I think – you know, our priority is to put ourselves on stronger footing before we consider a faster growth rate. We’ve got a couple percentage here. I believe next year with the seven airplane deliveries, we are about 3% to 4%. It’s too far to look beyond that. But I think right now we are comfortable with that. And we are very, very happy to build our financial strength and to improve our earnings per share prior to initiating growth higher than that.
Gary Chase – Barclays Capital: Appreciate it, guys.
Operator: Thank you, sir. (Operator instructions) And our next question is from the line of Helane Becker of Jesup & Lamont.
Helane Becker – Jesup & Lamont: Thanks, operator. And thank you very much for talking my call – my question. In terms of the restructure, I don’t think you have a lot of Western exposure. Can you just talk about your thoughts with respect to those West Coast markets that might be helpful to you? And then on Milwaukee, I don’t want (inaudible), but would you consider a joint venture with what’s kind of left with Midwest? Would that make any sense for you?
Bob Fornaro: There are – good morning, Helane. Couple of points, and first of all – and even kind of start out to a previous question, I think as the network develops, we have to look at really all factors. And even in the context of M&A, if we could become a facilitator in any transaction, that’s a place we would like to be. In terms of looking out west, I think there is a lot of short wall service right now up and down the coast. And realistically, all these routes are naturally very, very seasonal. And so with our restructure, the west is not going to play a very, very good role. As Milwaukee develops, I think the West Coast can play a bigger role because all of a sudden we will be able to have some Midwest feet as well. Yet regarding Milwaukee, I think really in the – we're really in the right place. We’ve seen a huge change in the market. The principal carrier there, a lot of change for them. And we think we’ve done a pretty good job running carriers to the north. And customers of Northern Illinois know that Milwaukee is pretty easy to get to. So we are seeing a big change. And regarding any opportunity, again, we are – if we could find a way to improve our profitability, we are certainly going to take a look at it.
Helane Becker – Jesup & Lamont: Okay. And then just on the 717s, can you just talk about if you are happy with that plane? Is that sort of a plane for you for the markets you are serving? Is there a plane we can fluff into that would be better for you on that plane? That’s my question.
Bob Fornaro: In charge of our airplane, again it’s – if you look at where we are, first of all, we have one of the shortest call networks in the business. So I think the airplane plays – plays a really an important role for us. And again, ten years ago, we were pretty much (inaudible) operator of 29-year old fleet. And we dramatically changed what the company is good for, how it operates. And so it really helped us really to change our ambition and ultimately created low-cost, high-quality carriers. So the airplane fits us very well. Five or six years down the road, most of those airplanes come of lease. And at that point in time, we are going to have to make a decision, probably prior to that whether we are going to sign up for an extended period of time or go in another direction. So a decision on the airplane is a couple of years away, but I’d say over the last six or seven years, its’ a great airplane, and it really has done a lot for us that fits the real network.
Helane Becker – Jesup & Lamont: Great, okay. And then my last question is, are you happy with the shift from New York to LaGuardia and the revenue you are seeing there?
Bob Fornaro: Good question. It’s a little early to process because it’s very hard to judge anything based on first quarter results. But I think LaGuardia, our bookings look pretty good. We would like to get another gate in LaGuardia, quite frankly, because we would like to withstand further. But if we go back, I know we looked at our position and we had four or five flights a day. It was one of our top two highest cost domestic stations. We didn’t view any growth opportunities there or our opposition, as we (inaudible) LaGuardia that we decided to invest in LaGuardia. And LaGuardia has historically been one of our strongest markets. And what we do back there is facilities. And if you could help us and Arne get another date, I’d appreciate it.
Helane Becker – Jesup & Lamont: Okay. I’ll do what I can. Thanks. Thanks, guys.
Operator: Thank you. And our next question is from the line of Steve O'Hara of Sidoti & Company.
Steve O'Hara – Sidoti & Company: Hi, good morning.
Bob Fornaro: Good morning, Steve.
Kevin Healy: Good morning, Steve.
Steve O'Hara – Sidoti & Company: I was really – it looks like you had some pretty good success in markets like downtown [ph] and Knoxville. You guys – would you say it’s primarily competing at price or offering maybe a superior product in the market?
Kevin Healy: This is Kevin. It’s really both. When you look at what we do as we can come in with the lowest talks in the industry, compete very well, but you are not sacrificing on quality at all. So you know you are getting the full benefits of our direct-to-the network. I think the markets that you mentioned are very good. You get high operational integrity when you are flying in there. And really you’re taking advantage of our position in Orlando and Florida, in general. So it’s a nice balance to the network, very cost effective, and a lot of room to expand.
Steve O'Hara – Sidoti & Company: Okay. And when you say a lot of room to expand, you mean in other markets or in those markets?
Kevin Healy: It’s more of looking at it from the Orlando side of the business or Florida side of the business. I think there is more that we can do there. Depending on how they go, there is opportunities from the points north as well. But I think it’s a model that can be replicated in a lot of different places.
Steve O'Hara – Sidoti & Company: Okay. And then going back to Milwaukee, there has been a lot of talk about Midwest, but I guess there are key questions. What you are seeing from Southwest?
Bob Fornaro: I think actually – we compete with Southwest in I can tell you how many cities. I mean, our big focus in Milwaukee has really been the business grew. So we also we are key competitors of Midwest. And we don’t spend – at least in that market, Southwest is not a big factor. They are much bigger factor in other parts of the country. To some degree, (inaudible) entering the market (inaudible) brought more attention to Milwaukee as the third airport in the Northern Illinois, Southeast Wisconsin area. And quite frankly, stood across from that perspective, because there are now more flights. And I think both of us ultimately are going to help draw traffic from Northern Illinois. At the same time, Southwest presence has also, I think, probably hampered Midwest as well. So quite frankly, Southwest really showing up has not been a big deterrent for us. We compete with Southwest everywhere. And it’s not an accident that our costs are lower. We’ve been working on this for ten years. And everybody inside of AirTran knows that we’ve set out a goal ten years ago in order for us to be successful and grow, we’ve got to have the best cost structure of any major airline. And I think we’ve achieved that, and that allows us to compete really in any market on any basis. So Milwaukee was a place – we basically compete in most of these today. Like I said, I think our big focus has been capturing the business market in Milwaukee. That’s been our challenge and our number one priority.
Steve O'Hara – Sidoti & Company: Okay. And then the passenger traffic in Milwaukee has been among the fastest in the country, is that right?
Kevin Healy: Yes. Again, I think that’s a reflection in the level of competition that’s going on there. It reflects our expansion to Southwest entry, not just in terms of expanding the regional job, but I think the attention is also driving more visits into Milwaukee. It’s really been a high profile story all around in a number of national stories in media. So it’s a great opportunity going forward. I think we’ve been added for quite some time. We feel very good about the position that we are in and have a great opportunity to continue to earn the business in the marketplace. So we feel really good about what’s going on out there.
Steve O'Hara – Sidoti & Company: Okay, great. Thank you.
Kevin Healy: Yes.
Operator: Thank you. And we have no further questions in queue at this time. I would like to turn the call back to Bob Fornaro for any further remark.
Bob Fornaro: Great. And I’d like to thank everybody for joining us on the call this morning. It surely is disappointing to have a first quarter loss after four consecutive quarters of profitability. But we’ve worked hard to position AirTran as a flexible and more dynamic carrier. As we move forward, we move forward with an industry-leading cost structure, high quality service ranking has been encouraging, trend of yield improvements. Again I think – as we move forward into the quarter, which is our seasonally strong quarter, we are moving into strengthening revenue trends. Thank you for your time today, and we will talk to you all in July.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. You may now disconnect. Everyone have a good day. Thank you.